Operator: Good day and welcome to the Third Quarter of Fiscal Year 2021 Earnings Announcement and Conference Call. All participants will be in a listen-only mode. [Operator instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Seth Artz. Please go ahead.
Seth Artz : Thank you, operator, and good morning, everyone. Joining us for today's call, we have Mark Borrecco, President and Chief Executive Officer; Pete Chapman, Chief Financial Officer; Steve Yose, Chief Credit Officer; and Karlyn Knierie, Chief Risk Officer.  The presentation for today's earnings review is available for webcast and download through our Investor Relations website at ir.greatwesternbank.com. We'd like to remind you that today's presentation may contain forward-looking statements that are subject to risks and uncertainties that may cause actual future results to materially differ from those discussed. Additionally, any non-GAAP financial measures are provided to further assist you in understanding results and performance trends and should not be relied upon as a financial measure of actual results. Please refer to this quarter's earnings materials and other periodic disclosures such as the 10-Q and 10-K, all filed with the SEC, which contain our forward-looking statement disclosures and reconciliations for non-GAAP measures, along with an outline of risk factor disclosures.  With that, I'll now turn the call over to Mark Borrecco.
Mark Borrecco : Thank you, Seth, and thank you everyone for joining this morning. This quarter continued our trend of progress, highlighted by net income of $58.7 million, an acceleration in the reduction of non-performing assets, advancement of key growth initiatives, along with a dividend increase.  Pete and Steve will elaborate further, but I am excited about our continued improvement and want to thank our employees for their dedication and focused performance. As we look at Page 2, credit risk management remains a priority for us. We made significant improvement in our asset quality, highlighted by a $74 million reduction in non-accrual loans.  Additionally, we made progress in other asset quality metrics, as evidenced by our $199 million reduction in criticized loans, and we have just one loan left on payment deferral for $200,000. That's down from a peak of $1.7 billion. We strengthened our capital position by 90 basis points and our total capital ratio has now reached 16%. We increased our dividend to $0.05 per share. Our allowance for credit losses ratio is at 3.33% of total loans, excluding PPP, following a provision release of $20 million this quarter.  The rollout of our small business center is progressing well and I am encouraged about the multifaceted opportunities that this platform creates for our bank. This initiative will improve the efficiency and quality of how we manage our smaller commercial credits. We will significantly improve the client experience, which will allow us to better support the many, many small businesses in our footprint.  This platform will be fully implemented by September 1st and this will also create capacity for us, allowing our commercial banking team to focus on driving larger loan growth. At the heart of our progress is our mission of making life great by empowering our employees, strengthening our customers, and enriching our communities. We appointed Macala Carter as the Bank's first diversity – first Director of Diversity, Equity, and Inclusion and I know that her leadership and support will help us drive our mission. While we remain focused on derisking our balance sheet and taking measured capital actions, I am encouraged about our loan growth and the activity in our markets.  We had a notable increase in total loan production this quarter, which was 50% higher than the prior quarter. I am also pleased with the quarter-over-quarter performance in several of our key growth markets, specifically, Colorado Springs and Tucson, along with strong performance in more mature markets like South Dakota and central Iowa.  Now for a review of our financial results, I will turn the call over to our Chief Financial Officer, Pete Chapman. Pete?
Pete Chapman : Thanks, Mark, and good morning, everybody. We had a strong quarter with net income of $59 million, an increase from $51 million in the prior quarter, supported largely by lower credit costs. Underlying pretax pre-provision income of $62 million was driven by a focus on managing down funding costs, recoveries of interest from successful loan workouts and careful expense management as we make targeted and strategic investments in platforms and resources.  Looking at Slide 4, adjusted spread income was $96 million this quarter, compared to $101 million in the prior quarter. And adjusted NIM was 3.13% this quarter, down from 3.4% last quarter. This movement was driven largely by an 18 basis-point decrease from elevated liquidity as average cash balances were 66% higher this quarter with the remaining decrease driven by a 12 basis point decline in loan yields, partially offset by a 3 basis point lift from the improved funding costs.  With accelerated loan repayments coming from our focus on improved asset quality, our interest-earning asset mix has shifted significantly. But, we are being prudent in managing this liquidity position, recognizing that while it is creating a drag on NIM, it gives us upside on spread income looking forward. Excluding PPP fee amortization and non-accrual interest recovery this quarter, NIM was 2.87% and we expect some contraction in the near-term as liquidity levels are forecasted to remain elevated and new asset yields are typically lower than those maturing.  Looking at Slide 5, PPP loans originated in the latest round increased to $250 million with is 34% of the $727 million originated in the first round. Originations have ceased an over 80% of first round loans are being forgiven, resulting in an outstanding balance of $365 million at quarter end. Total interest and fee income from PPP loans was $6.6 million this quarter and as of June 30, there was $14.2 million of unamortized PPP fees remaining.  On Slide 6, total non-interest income was $19 million with $18 million related to core non-interest income that was flat with the prior quarter. A favorable credit adjustment on fair value option loans more than offset derivative interest expense which has been tracking at more than $3 million per quarter. Increases in the public service charges, wealth management and BOLI income from an increase in investment of $150 million, all helped offset the decline in mortgage revenue.  Looking at Slide 7, non-interest expenses of $60.5 million were slightly up from $59 million in the prior quarter. The increase was largely driven by an increase in employee cost and technology investments.  Looking ahead, an expense runrate of $61 million to $63 million per quarter will support our key initiatives driving commercial banking capability, revenue growth, and diversification, technology uplift, and talent development. This quarter, we recaptured $21 million of provision for credit losses on loans, compared to a recapture of $5 million in the prior quarter, due largely to improvements in economic factors and a reduction in criticized loans, which Steve will expand upon in a minute.  And while the outlook is improving somewhat, we do believe there is still some uncertainty and feel our reserve levels are appropriately reflected and we remain comfortable with our overall levels of allowance coverage.  Moving to Slide 8, our ACL was $270 million at the quarter end, compared to $296 million in the prior quarter. In addition to the $270 million ACL, we have a $23 million fair value mark related to our long-term fixed loan portfolio of $545 million recorded at fair value. The ACL and fair value mark combined with a $2.1 million unfunded commitment reserve, puts our total credit coverage ratio of 3.64%, excluding loans – excluding the PPP loans.  On Slide 9, we see current capital ratios with a total capital ratio of 16%, an increase of 90 basis points from the prior quarter. Tier-1 capital increased to 14.5% and common equity Tier-1 increase to 13.7% during the quarter. Our tangible common equity ratio increased 40 basis points to 8.8% and tangible book value per share increased over 6% to $20.97 per share. Given the improvements in both asset quality and the current environment, we increased our dividend to $0.05 per share for the quarter ended June 30, 2020. We'll continue to evaluate capital management in close conjunction with the level of capital – classified assets.  Looking at Slide 10, deposits of $11.5 billion were mostly flat with the prior quarter. Our mix continued to improve as average non-interest-bearing deposits increased 5.5%; average term deposits decreased 14%, following a 15% and 13% decrease in the prior two quarters, as well.  Our total deposit cost decreased 25% from 16 basis points to 12 basis points and reflects an 11 basis point decrease in time deposit costs and a 4 basis point decrease in other interest-bearing deposit costs. Loans at the end of the period were $8.5 billion, a decrease of $534 million from the prior quarter.  The decrease was driven by the $202 million decrease in PPP loans, $211 million decrease resulting from the repayment of not accrual criticized and hotel loans, and also a $55 million decrease in outstanding mortgage warehouse line of credit balances. And the remaining paydowns related to a general trend in business, sales, deleveraging across commercial and consumer customers holding higher levels of liquidity.  I'll now hand over to our chief credit officer, Steve Yose to give an update on credit progress, asset quality and also some commentary on key loan segments.  Over to you, Steve. 
Steve Yose : Thank you, Pete, and good morning, everyone. As Mark indicated, this was a big quarter for us in delivering results related to our number one priority of improving asset quality.  Looking at Slide 12, we reduced non-accrual loans by 26% from $285 million to $210 million, which are now down 35% fiscal year-to-date. We reduced classified loans by 9% from $674 million to $612 million, which are now down 20% fiscal year-to-date. We reduced special mentioned loans by 27% from $512 million to $375 million and are now down 26% fiscal year-to-date and we reduced our OREO balance by 34% from $18 million to $11 million, which is now down 43% fiscal year-to-date.  Also, on Slide 12, we thought it would be helpful to show a profile of our non-accrual loan balances related to concentrations in Ag and non-Ag segments. The five largest non-accrual loans in Ag and the five largest loans in non-Ag segments make up 72% of all non-accrual loans, which highlights the concentration from a small number of relationships. All of these are being managed by our workout team with a continued disciplined focus to improve non-accrual and classified loans. We have more work to do. But I'm very pleased with our progress this quarter.  Looking at Slide 13, we see net charge-offs were $5.2 million this quarter or 0.24% of total loans annualized. When excluding the $34 million impacted from discounts taking on the exits of the deteriorating hotel loans throughout the fiscal year, net charge-offs were $9.4 million or 0.14% of total lines annualized year-to-date. Moving to Slide 14, we have updated information on our hotel portfolio. Hotel loans, excluding PPP are down 700 – are down to $708 million, which is 32% below $1.04 billion a year ago. Partway through the summer season, $462 million of our hotel portfolio is past-rated as our all $130 million of our casino hotels and we remain diligent in managing this portfolio. 88% of the total accommodation portfolio is in footprint and well-diversified across more than 100 small to mid-sized locations. On Slide 16, you'll see we continue to maintain a diversified Ag portfolio across Grain and Livestock segments and across geographies. Crop progress in our footprint from both corn and soybean is tracking well with Iowa and Nebraska well ahead of national averages, while South Dakota is experiencing favorable conditions in the southeast and dry conditions in the north and the west.  The USDA average farm price for corn is $5.60 per bushel and for soybeans it’s $13.70 per bushel, both increases from $4.30 per bushel and $11.35 per bushel respectively, in the prior quarter and indicating good margin opportunities for our producers. Class 3 milk prices reported by the USDA notched higher to $17.21 per hundredweight in June and the remaining 2021 futures are tracking in line with that level. Additionally, our healthcare portfolio has generally shown stability through the COVID cycle and we continue to be proactive with early warning risk identification and timely and accurate risk ratings.  As I reflect over the past year from when I began with the Great Western Bank, the progress we’ve made over this time frame and in this last quarter has far exceeded my expectations and we will continue to remain laser-focused on improving asset quality.  That wraps up my credit commentary. I will now hand the call back to Mark.
Mark Borrecco : Thank you, Steve. At this point, operator, let's now open the call up for questions.
Operator: [Operator instructions] The first question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis : Thanks. Good morning.
Mark Borrecco : Good morning, Jeff.
Jeff Rulis : Pete, you mentioned that with the expectation of margin contraction or additional, going forward, it sounds like the big variable will be the ability to keep earning asset balances up. You were able to do that in the quarter with the loan run-off. Just, expectations maybe on that earning asset balance and sustainability of keeping that level and/or growing it.
Pete Chapman : Yes, look, looking at pretty good trends there, Jeff. If you just have a look at the average versus the spot balances for cash and liquids, spot balances are up quite a bit over the average. So that's why we’d expect that drag into the quarter. So, pretty good and of the loan run-off that you saw PPP is obviously the big wildcard that we'd expect less loan run-off in this quarter coming up.
Jeff Rulis : Okay. Well, that is somewhat related to my next question is, Mark, you mentioned that loan production up 50% higher linked-quarter. We don't get to see the churn as much. So, I guess that the big question and the tough question is where are you are seeing that growth inflection? And just another quarter update of when you think that might be when that turns on? Thanks.
Mark Borrecco : Yes. I think for us as we look at kind of where we were a year ago and where we are trending, Jeff, the fact that we are improving and seeing an increase in our overall loan production is a great thing. And I would expect that to continue.  The piece that's a little bit more harder or a little harder to understand is, how much do we continue to improve and de-risk the balance sheet as it relates to our – a more challenging credits and so I would expect that our goal is to have that kind of contraction start to stop, get back to zero, start to see some moderate growth as we move forward into 2022.  As we continue to see our pipelines increase, as we continue to see that production increase, we are working through that troubled loan portfolio in a way that I am encouraged that we should see some of that growth soon.  I don't want to get too specific, because I don't know again how much of that asset quality or how much of that de-risking will drive down the balances and can we cover or compensate enough in our production. But I am feeling far better today about our outlook as we look at the rest of this quarter and then obviously the first quarter of next year.
Jeff Rulis : Okay. Appreciate it. Thank you.
Pete Chapman : Thanks, Jeff.
Operator: The next question comes from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy : Good morning, everyone.
Mark Borrecco : Good morning.
Terry McEvoy : Maybe, Mark, start with a question for you, a little bit more bigger picture. Do you feel like for the first time since you've been at Great Western, you can start to think more, call it, offense than defense? And I am just wondering kind of outside of this small business center, which you talked about earlier, what else can be done to kind of play more offense and position maybe for longer-term growth not just the next couple of quarters, but more consistent long-term growth?
Mark Borrecco : Yes. I do feel significantly better for the first time as it relates to being more offensive rather than just having to worry about the asset quality. The small business piece is really what I consider a foundational element to creating capacity for our organization to grow faster. So when I think about the way that we have traditionally handled small commercial credits, whether it was 10,000 thousand or 10 million it was treated the same. So now that we're dealing with a significant part of that portfolio we can free up resources to be able to go and grow the portfolio at a higher level or larger loans. So, when I think about offensive, it isn't just about loan growth. That's a key point. We've been putting far - far more investment and resources into our commercial end-to-end lending process and so we feel like with that part, that will also create more capacity for us.  And when I think about other sources of income whether that's treasury management, as we look at hiring Amy Johnson and the work that she is doing to reinvent our treasury management platform and really drive opportunities for us to grow non-interest income in that space. I look at the hiring of Rick Robinson and what we see in our wealth management platform, as that business continues to perform very well.  I look across all of those elements small business, the investment in our commercial platform with end-to-end lending and some additional technology enhancements there, the treasury management piece, the wealth management piece. And then lastly, we still have an underutilized part of our business, which is our retail organization.  So looking at some of the enhancements we've made there with our consumer checking product mix, soon to have updates to our small business product mix. I really feel like in so many areas, Terry, we are investing. We are being more offensive. And it's not just one area that's going to help us turnaround our revenue. It's going to be all of those areas, each bringing their own kind of piece of the pie to the overall Great Western revenue growth story.
Terry McEvoy : Great. Appreciate that overview, Mark. And then, a follow up for Pete. Maybe just thinking about the expenses, it looks like they are going to be a little bit higher next quarter. Maybe talk about how you manage expenses, given kind of Mark's discussions on just simply playing more offense.
Pete Chapman : Look, we've been really prudent behind the scenes, Terry. Certainly, in terms of turnover in areas of the business that slowed down through the pandemic. We've been potentially really good at capturing turnover and reinvesting that into areas that we want to grow. So, we'll just continue to do that, Terry, over the course of the next quarter or two. So, we feel pretty comfortable.  As you said, a slight uptick in expenses, but certainly behind the scenes, we're continuing to work behind on capturing that turnover, reinvesting and also, from a vendor perspective, we've been really successful at renegotiating a couple longer term contracts at lower levels as well. So, we feel what we are doing is manageable.
Terry McEvoy : Great. Thanks, everyone.
Pete Chapman : Thank you.
Mark Borrecco : Thank you. Have a Good day.
Operator: The next question comes from Andrew Liesch with Piper Sandler. Please go ahead.
Andrew Liesch : Hey guys. You have covered most of my questions already, but just got a follow-up kind of related to the margin in the balance sheet. However, that the securities book has been climbing as a percentage of assets over the last few quarters, so, just curious like how much capacity do you have there? How large would you like it to get? And, is there like any sort of policy on the maximum?
Pete Chapman : No policy on the maximum, Andrew. So as you can see, we don't have a lots of pay down on the liability side of the balance sheet. We've only got a $120 million, I think, it is outstanding with the FHLB. Certainly, on the deposit cost side of things, anything high cost we are running up at the bank. So, I think what you'll see over the next quarter, you'll probably see us holding less cash and we'll probably put a little bit more money to work in the securities portfolio this quarter while yields aren't exciting. It's better than getting 15 points at the Fed. So, I think from a mix perspective, that's what you'll see over the next quarter.
Andrew Liesch : Got it. Any thoughts on what you'd like to purchase?
Pete Chapman : Probably, just more agencies, Andrew. It seem to be that the best yield at the moment for the duration, we are looking at.
Andrew Liesch : Got it. Okay. Alright. Thanks for taking the questions.
Pete Chapman : Thanks, Andrew.
Mark Borrecco : Thanks, Andrew.
Operator: The next question comes from Janet Lee with JPMorgan. Please go ahead.
Janet Lee : Sure. Good morning.
Mark Borrecco : Good Morning.
Pete Chapman : Hey, Janet. 
Janet Lee : Hello. My first question, so, when we combined with the improvement you've seen in driving down asset quality metrics this quarter and just overall improvement in the economic factors, is it possible that reserve - I know you've touched on this a little bit in the remarks. But is it possible that the reserve level is coming down even more from this level assuming things sort of stabilized?  I understand that it may not be as simple for you to just assume getting back to the CECL level day one over time as many of your peers guided to. But any – any color you can provide there would be helpful.
Pete Chapman : Look, we'd hope so, Janet. Obviously, our reserve coverage is well above peers as is our MPOs. So, look, at us as MPOs track down, certainly we'd hope we don't have to hold the current levels of reserve coverage that we've got. Steve, anything else to add there?
Steve Yose : Yes. Well, we're very encouraged by our asset quality and what happened with non-accrual and criticized loans. And I think you'll see the allowance move as we continue to show improvement there. But we are also very – taking a very careful look at the economic factors as it relates to hospitality or accommodation and all those things to make sure that we are being very careful in how we are looking at the allowance.
Janet Lee : Got it. Sort of along the same line, so, obviously a fairly significant improvement this quarter like NPLs are now just sub 2%, 2.5%. Is there – at what point do you think you'll turn around and say, okay, this is good enough from deleveraging perspective and let's start get that loan growth back up a little bit more or start returning more capital? Is there any color you can provide there?
Mark Borrecco : Yes, I think we've reached a level where we are, as mentioned earlier on the call that we are starting to be more offensive and I say that in terms of we are focused more on loan and revenue growth, we are focused more on initiatives that will help drive that.  And so, the organization, and the way that we've set it up with having certain parts of the organization focused on the more challenging credits allows our bankers to start to be more focused or solely focused on really driving that loan and revenue growth moving forward. So I feel like we've reached that point in terms of being more offensive than defensive. As far as the capital or additional capital actions, again that will be truly reflective of our continued asset quality performance. If we continue to see the levels that we have quarter-after-quarter, then you will see us become more aggressive, probably isn't the right word, but just more thoughtful around how and what we do from a capital action perspective. Pete, any additional?
Pete Chapman : Nothing, Mark. [Indiscernible] Thanks, Janet.
Janet Lee : Great. Just one follow-up, if I could?
Mark Borrecco : Sure.
Janet Lee : With the small business center launching in September, obviously, you are a little bit more optimistic about loan growth into the second half or maybe in 2022. Do you think that C&I loan growth will be the primary loan growth for you guys, maybe in 2022 or what should I – how should we think about the loan growth’s drivers after things like as have already? 
Pete Chapman : Yes. So, the small business center, again it will be fully rolled out by September 1. We launched it in March. We are just doing a phased approach. So, just a clarification there. I do think that we will have improved C&I growth moving forward. I don't want to over-promise in that regard though. Look, we're still going to have our fair share of real estate as an organization.  When you look at our footprint and when you think about some of our key markets, both a combination of C&I and real estate would be how I'd see us grow. But as a relative percentage of prior performance, I would expect the percentage of C&I to become greater than it has been historically.
Janet Lee : Great. Thank you.
Pete Chapman : Thank you.
Operator: [Operator instructions] The next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte : Hey. Good morning, everyone. Hope everybody is doing well today. So, my first question is – great. As you guys look out more on to 2022 and when you expect the loan growth to start to turn positive, what geographic areas are you seeing that are going to offer the best opportunity, because I think there's obviously you talk about loan production this quarter, but it’s being masked by the runoff in other areas of the portfolio. So, can just give us a little bit more insight into some of the more attractive markets and what's driving those opportunities?
Mark Borrecco : Yes Sure. Thanks, Damon. So, when I think about and I'll start kind of west and move east. So, within Arizona and Colorado, we do have I think, significant opportunities to grow the portfolio. When I look at the bankers that we have in that space, when I think about the opportunities and the level of expertise, I would expect there to be significant or solid growth in both our Fort Collins and Denver area, the aforementioned Colorado Springs market, and then in Arizona, especially when I think about the Tucson market and where we are there and what we can do to be bigger and more impactful in that market.  I also break down kind of our newer markets or our higher growth markets from our more established markets. So as we move east, I would tell you that, starting on the north side of Fargo, as we've mentioned before is a key area of opportunity. We are investing in that market and I would expect to see growth there.  South Dakota has been a mainstay for us and I would expect there to still be opportunities for growth in several key areas, not just in Sioux Falls but other parts of South Dakota, as well. Des Moines, our banker team there is exceptional. I would expect there to be strong growth. Moving down further south as we head as Kansas City. We've hired Doug Gummer and expect our Kansas City market to become a far bigger part of our success moving forward. And then, we have a very strong team in eastern Iowa that I know has already put up some sizable growth and would put up more growth in the future.  So, as I look through our markets, I didn't even mention in Omaha and Lincoln, where we have opportunities kind of as a long-term player in that market and I still feel like we have more to do in Lincoln and Omaha, and I am confident that we'll have that. So, what excites me about the future, Damon, isn't that we just kind of have, hey, we say it's loan growth.  As we look at the pockets that we have within our footprint and the areas where we have undeveloped markets, as well as established markets that we can still win more in, I am very encouraged about what that means to us and also about how that will impact our revenue and loan growth moving forward.
Damon DelMonte : Thanks. That's a great rundown. Appreciate that. And then just kind of on the de-risking process, I apologize if this was said. Were there any type of bulk loan sales this quarter? Or are you just kind of working credits off one at a time?
Pete Chapman : I would say, we have a focused workout group that we feel is very well staffed and has helped us get the lift we have and they'll continue to focus that way. We – as you look over the course of the fiscal year, we did opportunistically look at loan sales as a way to help us de-risk the portfolio, as well as working through our different challenged credits.  But going forward and with – as we evaluate our portfolio, we don't – we're not at this point in time, looking at any further loan sales. On any non-accrual or problem loan, that's always an option that we pursue and look at. But generally, we find that that's not the best option today. So I don't think you will see any loan sales in our commercial portfolio going forward.
Damon DelMonte : Got it. Okay. That's helpful. Thank you very much.
Mark Borrecco : Thanks, Damon.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mark Borrecco for any closing remarks.
Mark Borrecco : Okay. Thank you, operator. Again, just to close, I am excited about our continued progress. I know that moving forward, we will continue to see that level of improvement. Please reach out with any follow-up that you may have and have a fantastic day. Thank you all.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.